Operator: Good day everyone and welcome to the QIWI third quarter 2021 earnings conference call. Today’s call is being recorded. At this time, I would like to turn the call over to Mr. Dmitry Kovalenko, Head of Investor Relations at QIWI. Thank you, please go ahead.
Dmitry Kovalenko: Good day everyone and thank you for joining us to discuss QIWI’s operating and unaudited financial results for the third quarter of 2021. With me to review the results are Andrey Protopopov, our CEO, Alexey Mashchenkov, our CFO, and Elena Nikonova, Deputy CFO.  The replay of this call will be available until Tuesday, December 7, 2021. Access information for the replay is listed in today’s earnings press release. The announcement and presentation are available on our Investor Relations website at investor.qiwi.com. I also note we have published Excel data book with historical data of our financial and operating metrics on the website. For those listening to the replay, this call was held and recorded on November 23, 2021.  Before we begin, I would like to remind everyone that this call may contain forward-looking statements as they are defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements about our expectations for future performance are subject to known and unknown risks and uncertainties. QIWI cautions that these statements are not guarantees for future performance. All forward-looking statements made today reflect our current expectations only and we undertake no obligation to update any statement to reflect these events that occur after this call.  Please refer to the company’s most recent annual report on Form 20-F filed with the Securities and Exchange Commission for factors that could cause our actual results to differ materially from any forward-looking statements. During today’s call, management will provide certain information that will constitute non-IFRS financial measures such as total net revenue, adjusted EBITDA, adjusted net profit, and adjusted net profit per share. Reconciliations to IFRS measures and certain additional information is also included in today’s earnings press release. After our remarks, we look forward to taking your questions.  I will now turn the call over to QIWI’s CEO, Andrey Protopopov. Andrey, please.
Andrey Protopopov: Good day everyone and thanks for joining us today.  Despite all the regulatory headwinds the group faced this year, I am pleased with the results achieved by the team for the nine months 2021. We managed to outperform our initial budget expectations and adapt to a new payment services landscape. Our initiatives in the existing business stream helped to mitigate the potential portion of losses that emerged due to suspension of cross-border operations.  Following positive trajectory across all key segments, we decided to upgrade our guidance for 2021 and raised our expectations for payment services net revenue and adjusted net profit.  A few words on the key events that took place in the third quarter. The CBR restriction expired and the central bank reinstated our ability to receive direct credit clients from the central bank, reflecting an overall positive attitude towards Qiwi. We sold our stake in Tochka Project and received the base amount of RUB 4.9 billion. Moreover, our [indiscernible] expectations regarding the strong performance in 2021 are coming true. As a result, you may have noticed in our reporting an additional income provision of RUB 2.7 billion. Also, the amount is not final and may be reviewed following Tochka audited results for 2021. We base our expectation on current results and reflect it accordingly.  Finally, the uncertainty around ETSUP was resolved. Unfortunately, the decision was not in our favor. Given TSUPIS [indiscernible] in acquiring service accounts in 80% of our total net revenue for the nine months 2021, we admit the next year we are going to face [indiscernible] pressure.  It is too premature to provide guidance for 2022; still, I’d like to comfort investors how I think of [indiscernible]. First of all, we are going to compensate for the dominant part of lost betting streams by active growth in the existing business. The same company which conducted the comprehensive market research will leverage our expertise and accelerate growth. We are finalizing the results of our profit with the board and hope to share all details with you in the beginning of next year.  Now to our third quarter results.  Our net revenue growth of underlying business was 2% lower year-on-year. I believe this is a good result considering the effect from CBR restrictions and high base of last year. As a reminder, in 2020 sports events were moved to the second half of the year due to lockdown measures. Our core payment services net revenue decreased by 4% year-on-year due to lower ecommerce net revenue yield. On the other hand, we note all-time high payment volumes which increased by 13% year-on-year. At the same time, we continue to demonstrate superior profitability with adjusted EBITDA margin of 60% and adjusted net profit margin reaching 42%. In line with target payout ratio of 50% of group adjusted net profit, the board of directors approved interim dividend payment of $0.30 per share. I will now add some color to the key quarter developments and operating results, while Alexey will cover financial [indiscernible] after. Payment services payment net revenue decreased by 8%. The decline in average net revenue yield was partially offset by record high volumes. The average net revenue yield declined by 23 basis points mainly due to decreased share of high margin across border payments, accounted within [indiscernible]. Our volume in third quarter was at historical high levels, reaching almost RUB 500 billion. A 15% growth year-on-year was largely a result of the following trends in the money remittance market vertical, [indiscernible] higher payout volumes to the self employed from Qiwi wallet account holders and payouts on cards.  In the third quarter, we connected to our platform 526 taxi companies, growing this number by 50% versus last year. We on-boarded 52 new partners working with the self employed in other industries, including scrap metal pickers, waste paper collectors, [indiscernible]. [Indiscernible] driven by overall growth [indiscernible] and continued growth of B2B2C and P2P transactions attributed to Qiwi market products and [indiscernible]. Corporate and other net revenue increased by 26% year-on-year driven by developments in our ROWI and Flocktory projects. As we have noted in the press release, our Factoring Plus project was rebranded to ROWI. It’s net revenue in the third quarter increased by 62% year-on-year. In line with previous communications, the growth accelerated in the second half of the year due to the seasonality of the portfolio. [Indiscernible] bank-guaranteed portfolio increased by 86% year-on-year to RUB 31.2 billion. Number of use increased by 18%, reaching 8,200 and average ticket increased 66% to RUB 1.1 million. Factoring portfolio increased by 83% and reached RUB 7 billion with number of active clients going up by 48% to 592. At the same time, there are positive developments in net revenue yield, which improved year-on-year by 2.4 percentage points. On top of active portfolio growth and expansion of customer base, we have launched our credit product for contract execution and started to provide loans for marketplace sellers via our platform [indiscernible]. [Indiscernible] new products generated RUB 29 million and demonstrated positive net profit results. Flocktory net revenue increased by 13%. We continue to expand our customer base and attract new traffic providers to the Flocktory platform and marketing services.  Now let me pass the floor to our new CFO. Alexey will walk you through our financial results. 
Alexey Mashchenkov: Thank you Andrey and hello everyone. I will add some key notes to the third quarter developments.  Our profitability level remains robust with adjusted EBITDA margin of 60% and adjusted net profit margin of 42%. Due to the cost optimization measures successfully implemented in 2020 and rigorous cost control in 2021, we continue to demonstrate exceptional efficiency for our operations. Our initiatives helped to offset negative implications of lost high yielding cross-border payments in the wake of central bank restrictions.  Our adjusted EBITDA margin was broadly flat year-on-year and stood at 60% in third quarter. Adjusted net profit margin declined by 7.2 percentage points to 42%, driven mainly by the following factors. First of all, high yielding cross-border payments were suspended and as a result, DTF net profit margin decreased. Additionally, this quarter we lacked equity pick-up from Tochka. The above negative factors were offset by the divestiture of Rocketbank.  We completed the sale of our stake in Tochka Project with expected cash receipts reaching RUB 7.6 billion. In the third quarter, we have received the base amount of RUB 4.9 billion. Additionally, in third quarter we made an accrual of RUB 2.7 billion of additional income following strong results of Tochka. Although the final amount is yet to be verified in second quarter of 2022, we are encouraged with the current results. Considering the current amount of performance adjustment, the IRR for our investment in this project reaches 54%, or over four times return on Qiwi’s original investment. Including the results from the Tochka sale, our net profit for the period increased 2.9 times year-on-year and stood at RUB 8.8 billion.  We upgraded our guidance in respect of 2021. Our guidance reflects recent changes in the betting industry, conservative projections on [indiscernible] cross-border operations, and sale of Tochka Project, which eliminates its contribution in net profit in the second half of the year. We also take into account strong performance for the first nine months in the year, which came in above our initial expectations. As a result, we expect total net revenue to decrease year-on-year by 10% to 15%, payment services segment net revenue to decrease by 5% to 10%, and adjusted net profit is expected to decrease by 10% to 15% over 2020 results. The board has approved an interim dividend in the amount of $0.30 per ADR. We are currently consistent with the targeted payout ratio of 50% of group adjusted net profit. Just a reminder, adjusted net profit does not include proceeds from sale of Tochka.  To conclude my speech, I would like to reiterate that we as a team are focused on profitable growth and are return-driven in all our decisions. Our belief is such prerequisite is crucial to ensure sustainable future of Qiwi. Now I will give the floor back to Andrey for some closing remarks.
Andrey Protopopov: Thanks Alexey. Additionally, I will give you a brief update on changes in the betting market.  Unfortunately our bid to serve as a ETSUP was not successful. Since October, the newly appointed ETSUP took over our TSUPIS operation. Net revenue of whole betting stream comprised 30% of group’s total net revenue. Net revenue from our TSUPIS business and related acquiring services for nine months 2021 amounted for RUB 3.2 billion, representing 18% of total net revenue of the group. We believe that we are able to reclaim net revenue generated from Qiwi world services for the betting industry. For nine months 2021, it comprised 12% of group total net revenue, or RUB 2.1 billion. We don’t observe any negative trends with respect to Qiwi wallet payments [indiscernible] used for betting purposes. We continue to work on options to share our expertise and provide services within the new framework of the new betting landscape.  I’d like to conclude with some brief outlook on the next year [indiscernible] my previous message. A combination of our underlying business stream demonstrates healthy development and double-digit growth which will be reflected in 2022 expectations. At the same time, we have several options on the table to leverage our expertise and accelerate growth. We will provide more details to the market once we have the new strategy approved by the board. Thanks for listening. We are ready to take your questions.
Operator: [Operator instructions] Our first question is coming from Chris Kennedy of William Blair. Please go ahead.
Chris Kennedy: Hello, thanks for taking the question. I understand you’re not planning to give 2022 guidance, but can you talk about the long term growth and margin profile of the business as you anniversary the loss of the sports betting business? Thanks a lot, guys.
Andrey Protopopov: Hello Chris, thank you for the question. I would reiterate that for the next year, what we’re going to do is basically compensate our losses with growth in other segments, so we will be able to compensate the majority of this growth as our key streams will continue to grow. Going forward, starting from 2023, we are targeting the growth. It’s not--we don’t yet have kind of finalized plan for that, but we would be targeting the double-digit growth starting from 2023.
Chris Kennedy: Okay, great. Thank you. Then just one quick one, can you talk about trends from October until mid-November and how that’s going? Thanks a lot.
Andrey Protopopov: Yes, I would say that it’s going in line with our expectations. If we will be talking about the betting [indiscernible], as I mentioned, we don’t see any negative trends on our Qiwi wallet operations with betting companies, so it’s going, I would say, generally in line how we would expect it, no losses. Other segments, I would say generally continue the same trends we observed in the third quarter. Alexey, if you want to add something here?
Alexey Mashchenkov: Yes, I just want to add quickly that I think our forecast is reflected in our guidance that we included to the press release.
Chris Kennedy: Understood, thank you.
Operator: Thank you. Our next question is coming from Vladimir Bespalov of VTB Capital. Please go ahead.
Vladimir Bespalov: Hello, thank you for taking my question. My first question will be on the regulatory environment. We know that there were some shocks over the past year, but if we look at the current revenue streams of Qiwi, for example, we know that in some areas the regulation is more mature, in some areas is less mature, so if you would estimate this regulatory environment, what portion of your revenue streams, current revenue stream is in less mature regulatory environment, and do you see any potential risks that regulation will change and there will be an adverse effect on your revenue streams? Thank you.
Andrey Protopopov: Good day Vlad, thank you for your question. I would say it’s kind of tricky to say. I would say that generally the markets we’re operating currently are less risky, so let’s say betting in terms of the overall regulatory potential headwinds. At the same time, working in Russia, you can always expect changes, like in every type of business where you can expect it or not expect it, so it would be quite difficult to forecast. At the same time, I would say that probably quickly grow in self employed businesses, including the different B2B2C and peer-to-peer [indiscernible] are less developed in terms of regulatory and may be subject for future attention from regulators. That’s where we may see some potential changes or enforcement, I would say.
Vladimir Bespalov: Okay, thank you very much. My second question will be on the use of proceeds from the sale of Tochka. You used to have a lot of cash on the balance sheet even before the sale; now, you have more cash, so your profitability is high. How are you going to use those proceeds? Are you going to distribute more dividends? Do you have maybe M&A targets in your new strategy? Could you elaborate on that a little bit? Thank you.
Andrey Protopopov: Yes, thank you for the question. As we said, we currently are evaluating different options to speed up our growth, and we have different investment opportunities looking forward. We still have those to be approved by the board, I would say, together with the budget for the next year as well as more long term growth perspective, so I would believe that we will be ready to communicate the plans, the future plans how we will be--what we’re doing with this cash, and together with our strategy at the beginning of next year and probably together with our guidance in the--after the first quarter.  Alexey, if you have here something?
Alexey Mashchenkov: No, I’d just like to add that different capital allocation options are considered at the board level, and we will definitely communicate with the market as soon as we make some decisions regarding that. As now, again as we announced, we continue to pay out the dividends with a pay ratio of 50% of our adjusted net profit, and--yes, that’s what we communicated to the market before and that’s what we continue to execute. Aside from that, as soon as the board makes a decision, we will communicate it to the market.
Vladimir Bespalov: Okay, thank you very much.
Operator: Thank you. Our next question is coming from Alex Vasenkov [ph] of Mass [ph] Investments. Please go ahead.
Alex Vasenkov: Hello. My congratulations with solid quarter results. I have a couple of questions. Can you please provide guidance for change in working capital and net cash flow used in operating activities for 2021?
Alexey Mashchenkov: Let me take this question. We only provide guidance for our total net revenue, payment services net revenue, and adjusted net profit results. We do not provide guidance for working capital - sorry for saying no to this.
Alex Vasenkov: I see. My second question will be regarding user wallets. It seems to be the trend continued to decrease number of active user wallets, so can you please provide some insight why this trend continues?
Andrey Protopopov: Yes, thank you for your question. There are several key reasons why number of wallets is declining. One of those is the CBR restrictions that we faced in the first half of the year, where a lot of notions of Qiwi wallets were forbidden to pay to, so we lost some of the users paying to those wallets. At the same time, even before that we introduced some limitations on anonymous wallets and enhancement on certain KYC procedures, which decreased technically I would say the number of wallets, because anonymous wallets is quite big a number, at the same time they represent less than 10% of the volumes of the Qiwi wallet overall.  I would mention that while the number of wallets is declining, the payment volume for active Qiwi wallet accounts was higher by 92% versus last year in the third quarter, so while the number of wallets is declining due to those reasons, part of them more kind of technical, we are able to grow on our key use cases, namely self employed paying to the betting clients, where people are spending actually more and overall volume was growing with the Qiwi wallet and the volume per client is growing on the Qiwi wallet. 
Alex Vasenkov: I understand. I just want to know that 80% of population in Russia don’t have credit cards, would you agree that this fraction of population is Qiwi’s potential customers?
Andrey Protopopov: It may be, but we look at this in a little bit different way. What we are focusing on, we are focusing on our key segments, namely it’s the clients for digital entertainment merchants, including betting, online games, social networks and others who want to pay online. Second, it’s self employed, both self employed entrepreneurs that are doing some small businesses and selling goods and services to their clients and needs a convenient peer-to-peer solution, and second the self employed that are getting money from businesses, where they’re getting paid from those businesses via our system, and users of money remittance and digital commerce, so that’s our, call it key streams. We are not focused to provide the tailor-made solution for those specific segments and niches within those streams, so that’s what we are targeting, probably not being too much focused on the more broader audience where we still have quite a, I would say, [indiscernible] with the big banks and marketplaces.
Alex Vasenkov: I see. Thank you so much.
Operator: Thank you. Our next question is coming from Ildar Davletshin of Wood & Company. Please go ahead.
Ildar Davletshin: Thank you for taking my question - I have a few, and please stop me if there are too many. First, just to follow up on several questions which were already asked, with regards to your guidance for the full year, the implied net income is quite low - I think it’s, like, half a billion rubles, if I am not mistaken, using 10% potential decline in full year adjusted net income. I’m just curious, are there any one-offs or additional investments or year-end expenses that we haven’t thought about, or is it more you being rather conservative in your guidance for net income?
Andrey Protopopov: Thank you for your question. I would say it’s both because you are taking the lower end, probably, of the guidance. At the same time, historically we have high expenses in the fourth quarter related to some seasonality and some, I would say, more one-off events, so I would say it’s both.
Ildar Davletshin: Okay, and may I also clarify, there was a question on the use of proceeds, but would you provide some guidance on the overall net cash position that is at the parent level that does not include funds, customer funds that belongs to rather just to Qiwi? I think before, it was--like at some point, it was about RUB 5 billion. I don’t know if it’s higher now with the additional transactions.
Alexey Mashchenkov: I’ll take this one. At the end of Q3, we had in total RUB 57.5 billion cash and cash equivalents, and it’s like next to 50/50 split between our own funds and the funds from our customers, clients and merchants. 
Ildar Davletshin: Okay, I see. Thank you. Maybe two more, if I may. One was--I had a question, at the beginning in your prepared remarks, you mentioned that you have a separate business line around, if I’m not mistaken, credit product for ecommerce customers. I may have got it wrong. Please, can you clarify, and maybe if you could speak a little bit more about this product, how it differs from the existing products on the market, because it looks like a relatively new business, at least from my perspective. Thank you.
Andrey Protopopov: Yes, it’s [indiscernible] product for the marketplace sellers that we are developing through our ROWI project. It’s in line with our overall approach, kind of structure financing for SME businesses, so I would say the closest kind of analogy would be factoring business, because what we are seeing, we are seeing through the API the numbers, how those sellers are operating in the marketplace, how their volumes are going, how much they are selling, etc. We are getting those money to repay those loans through the escrow accounts where sellers are getting money from the marketplace. In a way, it’s a kind of financing more of the marketplace, so the risk is more on the marketplace, like [indiscernible] and others, while we are proposing this product for the sellers. It’s, I would say, quite a new one. It’s not yet biggest - I think the portfolio is several hundred million of rubles, so it’s quite small yet, but we see it’s quite, I would say, promising going forward if we make everything right in terms of the distribution.
Ildar Davletshin: That sounds very interesting. As I understand, this is quite different to what is currently available for merchants from other providers, right, so there is no alternative sort of product?
Andrey Protopopov: There are some, I would say, drive on the market to do similar, but it’s certainly different from the traditional bank approach, when they are more trying kind of to score the sale as a company, while we do differently, we kind of score the relationship between the seller and the marketplace and the numbers of actual sales and use escrow accounts to get those funds from marketplaces to repay the loan. The structure is very different from what is on the market currently.
Ildar Davletshin: Okay, thank you. Maybe the last one from me, so you mentioned you’re working on the strategy, which also looks quite interesting to understand a little bit better. Historically you have focused on high margin segments, niches as I understand it, with relatively limited growth and some of them were negatively affected by regulatory changes. In your new strategy, are you still considering these sort of cash segments that are not fully serviced by current players, or are you also thinking of some more credit products, or maybe it’s partnerships with some other players? Which direction are you thinking more about volume or margin or new segments? Thank you.
Andrey Protopopov: Yes, I would just add that the segments we are focusing on are growing, the segments actually, so a majority of those segments we are operating currently are either growing or at least the addressable parts of those markets, namely online payments, are growing. Looking forward, I would say that we are--what we are looking at is [indiscernible] how we can add--what products and services we can add to those segments and clients where we are operating in, including probably some loans to the clients we are working, like taxi drivers or self employed people, where we see them, so that’s one of the options, all other products for the same segments to be, I would say, more competitive long term. Secondly, we are looking at what are other markets where we can, let’s say, reuse our expertise in services to get bigger volumes and revenue from those markets. 
Operator: Thank you. Once again, that’s star, one if you would like to register a question at this time. Our next question is coming from Maria Sukhanova of BCS. Please go ahead.
Maria Sukhanova: Yes, good afternoon. I have two questions, so first one on international transfers that [indiscernible] has restricted one year ago. Do you think there is--at this point in time, is there any chance that some of these volumes will come back in more the fashion that would comply with strict approach, or it’s just lost cause at this point? Second question about number of e-wallets and [indiscernible] decline does not reflect revenue at all, but just to understand roughly where the decline may end, so for instance if you look at third quarter, how many active e-wallets per day that you transacted, is it over 10 million or is it less? Just for some rough understanding, thank you.
Andrey Protopopov: Okay Maria, thank you for your questions. Let me take the first one. I would say that generally, we expect some slow growth on those international payments. We don’t expect any, I would say, significant pick-up. It’s related with, I would say, change of regulations that was imposed recently regarding the on-boarding and working with a foreign merchant. There were certain amendments introduced to cross-border regulations and basically some--we are making now on-boarding in line with those new regulations and believe that it will be quite steady, quite flow steady growth for the--looking forward. Importantly, those expectations are already included in our guidance for this year and we will be certainly providing it for the next year as well. Talking about the number of Qiwi wallets, Andrey, for that--? Yes, talking about number of Qiwi wallets, we don’t disclose it on a quarterly basis, so we disclose it on the last 12 months basis. We will continue to see some declines going forward because we will be getting the full effect of CBR restrictions.
Maria Sukhanova: Okay, thank you very much.
Operator: Thank you. Our next question is coming from Ratim Kremel [ph] of Erste Management. Please go ahead.
Ratim Kremel: Yes, hello. Thanks for taking the question. I have a question regarding the recent frequent change of CFOs. I think it’s the third person, right, in the last two years. Do you have any comments why there has been so many changes on this position and whether the new, let’s say, incoming CFO, let’s say the perception of the company and whether you feel comfortable staying as a CFO in the company for longer term? 
Andrey Protopopov: Okay, I will start and then Alexey will continue. I believe that while there were different personal reason for our previous CFOs to leave the company, generally speaking it is more linked to the changes of the CEO, so as you know, we had a long term CEO, Sergey Solonin, who was taking the role for seven years, and Alexander Karavaev was with him for almost all of this time, then when this started to change, so we have after Sergey, we have Boris Kim and then me, this change of CEO was kind of triggering the changes in CFO position. Now as long as I’m here for the long term, I’m committed for the company, so I was looking for a partner to work with me, so so far I’m happy with Alexey and hope we will be working together for a long time. Alexey, please feel free to add.
Alexey Mashchenkov: Yes, I just wanted to add, I’m very happy to be a part of the Qiwi team. I’m excited about the company’s future. I believe the company is in quite a unique position. It’s one of the pioneers of the fintech industry in Russia and still has a few very attractive segments where it successfully operates, and the company has resources and a fantastic team that can continue the growth and accelerate it, and I would be happy to be part of this.
Ratim Kremel: Can you share your KPIs as management? I mean, are you somehow linked to, let’s say, there’s some stock option plans or are you somehow linked to the performance of the share price, because we all know how the performance of the Qiwi has been in the last 12 months towards the Russian market. 
Andrey Protopopov: Yes, generally our short term KPIs are linked to the financial performance, different metrics of financial performance like group net revenue, group net income, some other segment KPIs. Our LTI that was recently kind of--we launched a new LTI program, is linked to the share price, so we are motivated to the stock growth as well.
Ratim Kremel: And is it just for, let’s say, CEO, CFO, or is it a broader program for, let’s say, other people on the team?
Andrey Protopopov: Yes, we have quite a broad LTI program. We have, I would say, three layers. In total, it includes, I think, around 200 people, including not only top management but as well key engineers and product and sales guys. All of this program is linked to the stock price.
Ratim Kremel: And the details? I mean, do you get the shares for free or is it some kind of [indiscernible]? I’m not familiar with what are, let’s say, the details.
Andrey Protopopov: For the top management, it’s split between the--both, I would say, so it includes so-called--yes, it includes both one that is based on the performance of the stock, and the retention part which is also denominated in shares, so it’s granted as shares but management is still interested for those shares to grow to get bigger maturation.
Ratim Kremel: To get granted shares, yes, from [indiscernible]?
Andrey Protopopov: It’s called kind of RSU and PSU, so RSU is restricted stock that is granted and PSU is performance stock that is granted. We have both for the top management, like on a 50/50 basis.
Ratim Kremel: My last question, I remember that is still Otkritie the main shareholder of the company?
Andrey Protopopov: Yes, Otkritie has the biggest economic value while Sergey Solonin has A-class shares, so he is basically a controlling shareholder. 
Ratim Kremel: If I remember correctly, there was some kind of a--it was supposed to be said that Otkritie was supposed to get rid of this stake in Qiwi by a certain timeline, but nothing has been happening, so there is no new information on this side, they are still keeping their shares with intention to sell?
Andrey Protopopov: With additional answers to this question, it is better to ask Otkritie, so we are not in a position to comment our shareholder’s plans. At the same time, I would say that recently what was--we saw publicly on the market was their intention to kind of sell our stock in some midterm, but that’s a question to ask Otkritie. 
Ratim Kremel: So they don’t really--but they have representatives on the board of the company?
Andrey Protopopov: Yes, they have.
Ratim Kremel: Okay, thank you.
Operator: Thank you. Our next question is coming from Yelena Shetima [ph] of Rafusium [ph] Bank. Please go ahead.
Yelena Shetima: Hello, thanks for taking my questions. I have two questions, actually.  Maybe I have missed something, but I’d like to ask which segments you’re planning to focus on in the coming months and 2022 in order to compensate this decreased betting stream. I mean segment, services, products, anything. 
Andrey Protopopov: Yelena, thank you for your question. We will be continue focusing on the same segments we are working now. It includes [indiscernible] digital entertainment, because Qiwi wallet in the betting and some other segments of digital entertainment is important payment methods and we believe we will be able to grow here as well. On top of that, we will be focusing on the self employed, both self employed entrepreneurs and payment to the self employed. Then it’s money remittance and digital commerce, so those are four key areas in the payment services.  On top of that, we will continue to grow in the ROWI business with the structure of financing products, including digital bank guarantees, digital factoring, and those new products that we launched this year. Those are key areas where we believe we will be growing for next year.
Yelena Shetima: Thank you. The second question is if I take a period from expiration of CBR restrictions to mid-November, to what extent do you think this volume of operations with foreign merchants has recovered? 
Andrey Protopopov: As I said, it’s recovering quite slowly. We already see some operations, those operations. What it’s important to mention probably on top of that, that even during the CBR restrictions, we cleared, I would say, some of the big merchants with the central bank, so we started actually some of the operations earlier, and then now we’re connecting more smaller type of merchants which take, I would say, a longer time, so it’s not that significant, but it’s growing. 
Yelena Shetima: Okay, thank you.
Operator: Thank you. This brings us to the end of our question and answer session. We would like to thank everyone for their participation today. You may disconnect your lines or log off the webcast, and enjoy the rest of your day.